Operator: Thank you for standing by. This is the conference operator. Welcome to the Altus Group Limited First Quarter 2021 Financial Results Conference Call. As a reminder, all participants are in a listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to hand the conference over to Camilla Bartosiewicz, Vice President of Investor Relations. Please go ahead.
Camilla Bartosiewicz: Thank you, operator, and good afternoon, everyone. Welcome to Altus Group’s first quarter results conference call and webcast for the period ended March 31, 2020. The news release announcing our results was issued after market close this afternoon and is posted on our website along with our interim MD&A and financial statements. Joining us today are CEO, Mike Gordon; and CFO, Angelo Bartolini. We’ll start with some prepared remarks, and then we’ll move right into the Q&A session. If we miss any questions, please contact me directly by e-mail. Angelo will begin by covering off our financial performance during the quarter, and then Mike will provide an operational update. Before we get started, please be advised that some of our remarks on this call may contain forward-looking information. And please be reminded that Altus Group uses certain non-GAAP, non-IFRS measures as indicators of financial and operational performance. Forward-looking statements and an explanation of these measures are detailed in today’s news release and in our related reports on SEDAR. And with that, I’ll now turn the call over to Angelo.
Angelo Bartolini: Thanks, Camilla, and thank you all for joining us this afternoon. Following a strong finish to 2020, we had a very productive start to the year, moving at an accelerated pace against a number of strategic initiatives, including closing on two strategic acquisitions and making solid progress on our cloud strategy, as you’ll hear from Mike today, while delivering robust financial results across all our key metrics and business segments. We’re starting to see the financial benefits of some of the changes we’ve been making to our go-to-market plans across the organization and more to come as we’re just starting to hit our stride. Above all, taking into consideration the strong year-over-year 42% bookings growth at Altus Analytics in Q1, the growing pipeline of future opportunities across the company and the strong backlog of property tax appeals. We’re feeling pretty good about our top line growth accelerating this year. Turning to the quarter and business segments. On a consolidated basis, revenues were up 4.5% to $137.2 million, while adjusted EBITDA was up 30% to $17.2 million, improving our margins from 10% last year to nearly 13% in Q1. As a reminder, our adjusted EBITDA results by segment now include the new bonus treatment that we discussed on the last earnings call. Basically, we started to accrue variable compensation costs within the respective business units on a quarterly basis versus formally doing it in the corporate segment and reallocating to the BUs in Q4. Our 2020 comparative results have been updated to reflect this new methodology. At Altus Analytics, we had healthy growth across all key business lines. So as experienced in Q4, FX continued to be a headwind. Revenues were up 5% to $54.4 million or 8% on a constant currency basis, of which over time revenues, our key metric, were up 7% to $42.8 million or 10% on a constant currency basis. This was all on an organic basis. We also had a notable improvement in adjusted EBITDA, which was up 23% to $10.2 million or 30% on a constant currency basis with margins improving from 16% last year to nearly 19% this year. To add some color on the revenue performance, first, as you’re aware, we moved to a full subscription model since the start of 2020. Although we still had some lag in perpetual deals in the comparative Q1 2020 number, the revenue impact of our model transition is now largely behind us, providing for smoother year-over-year comparative performance as we move through 2021. As mentioned, FX continues to be a headwind and is expected to remain a pressure point for Q2 as well, particularly on USD when the exchange was CAD1.39 to a U.S. dollar in 2020 compared to 1.225 today. With the addition of Finance Active starting in Q2, we’ll be increasing our basket of currencies, and FX impacts should be better mitigated. Our over time revenue base continues to build, and we feel good about achieving double-digit growth for full year 2021 on a constant currency basis. In Q, Over Time revenue growth was driven by higher subscription revenues, reflecting the stacking effect of the subscription revenue model of both current and past deals and overall higher license sales supported by steady customer expansion and the addition of cloud clients. More on that from Mike shortly. And we continue to sustain strong performance in appraisal management solutions with a healthy cadence of new client additions as well as our existing clients adding more assets on our valuation management platform, which was recently rebranded as ARGUS Value Insight, reflecting our ongoing efforts to bring our analytics business closer. In addition to healthy Over Time revenue growth, total revenue growth was also benefited from a recovery in our software consulting and education services. And overall, we’re pleased to see our AE software maintenance retention holding at an industry-leading rate and continue to expect it will remain around the mid-90s range. A key highlight for our Q1 disclosure is the introduction of a bookings metric for our Altus Analytics segment, so let’s spend a minute walk you through this. Our bookings metric includes all our Altus Analytics revenue streams, both Over Time and non-recurring. For the recurring over time streams, we take the annual contract value for new sales. This includes software, appraisal management solutions and our data subscriptions. On renewal counts – on renewal contracts, we count only the incremental portion that was not in our revenue base previously. And for the non-recurring onetime engagements, such as consulting, training and due diligence work, we take the total contract value. In Q1, we posted an impressive 42% bookings growth, which actually would have been 46% on a constant currency basis. And we finished the quarter with a growing pipeline of future opportunities. For the recurring bookings, the value of each new contract adds to our already significant level of over time revenues, and supports our ability to achieve healthy over time revenue growth in the coming quarters. With the non-recurring bookings, this will be reflected in point-in-time revenue in the coming quarters as we deliver on these engagements. Also, as you know, starting in Q1, we’ll be including Finance Active and StratoDem Analytics. StratoDem is an early-stage company with an attractive market opportunity, and Finance Active has a very attractive established financial profile, steady top line growth supported by large TAM, mid-90s gross retention and 90% recurring, reinforcing how mission-critical it is to clients. As a reminder, we will record a purchase price accounting adjustment to the deferred revenue impacting margins this year. Taking into consideration the accounting adjustment to Finance Active’s deferred revenues, combined with our investment into accelerating our data strategy including building out the StratoDem Analytics platform, we expect our full year margins will be similar to last year’s, and we should see an acceleration next year. On the whole, we still feel good about delivering double-digit earnings growth this year. As we look ahead, we feel good about the opportunities for 2021 from the strong Q1 bookings as our pipeline builds and sales activities ramp up, and as SMB volumes and software services continue to rebound gradually. Mike will provide an update on our cloud migration journey, so I’ll move ahead to our CRE Consulting segment. At property tax, it was another solid quarter, though tempered a bit by ongoing settlement delays in the U.S., all to say reinforcing the resiliency and geographically diversified model. Our Q1 revenues were up 4% to $54.7 million and earnings were up 19% to $11.1 million. Growth was driven by a double-digit increase in the UK, where we had a higher case settlement volumes and robust earnings – and robust growth in Canada where settlement volumes remained healthy. In the U.S., our pipeline is strong, but the COVID-related delays on settlements that we saw in Q4 persisted into Q1. As you know, the pandemic impact was mostly related to the anticipated timing of settlements. Basically, the opportunity didn’t go away. Rather, it just gets pushed out into the future quarters. And I would add the pandemic has also impacted some of our typical cyclical trends, such as both in the UK and, more recently, Ontario cycles extending till the end of 2022. Overall, it was a solid quarter as characterized by appeal settlements moving along and in certain markets actually picking up, sustained high success rates translating to higher savings for our clients, the growing pipeline of business as measured by volume of appeals and by total value, thus increasing market share, launching the integration of our national practices under our global operating model, and steady progress against our digitization efforts. These trends set us up very strong footing to sustain multiyear growth and to deliver another record revenue year in 2021. And finally, our valuation and cost advisory businesses continued to deliver steady performance, a solid reflection of their market leadership. Revenues were up 5% to $28.3 million and earnings improved by 60% to $3.9 million, driven primarily by our Canadian valuation practice. Turning to our financial position. Our balance sheet remains in great shape, and our cash flows are strong. We finished the quarter with a strong cash position of $69 million with $128 million in bank debt, representing a funded debt-to-EBITDA on a gross basis leverage ratio of 1.1 times. With respect to recent acquisitions that were disclosed subsequent to quarter end, we funded Finance Active primarily by drawing on our credit facilities, while StratoDem was purchased with cash on hand. Factoring this in, funded debt-to-EBITDA ratio would move to just over 2 times range, still maintaining a strong financial position. With that, I’ll now turn it over to Mike.
Mike Gordon: Thanks, Angelo, and good afternoon, everyone. As you just heard, we had a solid start to the year, and we’re getting our growth engine going. I’m really pleased with the progress over the last several months, and I’d like to congratulate my colleagues on their strong execution. Having covered a lot of ground on our last earnings call, I’ll use my time today to provide an update on our cloud transition progress, our integration plans for Finance Active and how the StratoDem Analytics platform and team fit within our data strategy and update on how we are progressing against a number of organizational initiatives. In Q1, we were in building mode, revamping our sales structures and go-to-market plans, adding executive talent, refreshing strategies and expanding our platform with new capabilities to accelerate our move into the debt and data market adjacencies. It was a busy period and the momentum continues into Q2. Starting with our cloud migration journey, accelerating Argus Enterprise cloud adoption both with our existing clients and with our new clients is our top priority. Nothing is more important to us than that. Our focus this year is on customers that will derive the highest value and who are best positioned for a quick and seamless transition. We’ve been revamping our sales, processes and product priorities by customer segment around that, including tailoring our sales and marketing approach by customer segment. On top, our dedicated cloud [indiscernible] team is prioritizing high-value transition opportunities by proactively addressing all the client decision factors, including selling on value by addressing and pressing pains and gains solved via the cloud capabilities. We have recently launched a new customer success program at Altus Analytics to be led by our new VP of Customer Success [indiscernible] who also joined us this week through which we will map out each stage of the entire customer journey from when they first come into contact with us to the sales process to implementation down to relationship management for retention, and this will drive improved processes for each stage. I expect this will help us strengthen our customer relationships, sustain our strong growth retention rates, improve cross and upsell opportunities and identify additional corporate and product development opportunities. Our efforts are starting to bear fruit. We finished the quarter with 22% of our total ARGUS Enterprise user base contracted on the ARGUS Cloud platform. This is a good increase from 14% at the end of 2020. Our goal is to reach between 35% and 40% penetration by the end of the year and, as you know, to migrate the high majority of our user base by the end of 2023. We’re now approaching 1,300 AE cloud customers. This includes both new ARGUS Enterprise customers as well as those who have migrated from legacy on-premise versions. As Angelo mentioned, we continue to have strong repurchase rates for our software products, but equally encouraging, we continue to add new clients, validating my view that we still have a lot of runway in our large addressable market. In fact, in Q1 alone, we added nearly 270 new software clients predominantly for ARGUS Enterprise, but this also includes our other software products, and this is higher than any quarter that we had in 2020. With a growing pipeline of opportunities, I continue to feel good about our goal to contract about 30% of our top 25 customers by the end of the year. Through a revamped product road map and sales structure this year, I believe the poll will become more convincing. The conversations I’m having with our largest clients reinforce that this is a strategic priority for them. So really, it comes down to timing it when it’s most suitable for them. Recent product updates such as the API capabilities and the single federated sign-on stand out as key value adds for the larger customers, who no doubt recognize the many strategic benefits of being on cloud-based platforms. The strong bookings performance in Q1 was very encouraging, supporting our positive outlook for the year to deliver double-digit over time revenue growth on a constant currency basis. On the product road map, we’re sustaining a good pace of product innovation from our product development teams. A big part of the pull into the cloud will be driven by customers getting more value from the cloud, so we’re focused on building out the platform with new functionality and product releases. In March, we launched the Yardi API Connector, and on May 10, we’re launching the ARGUS Cloud warehouse. This is a dynamic data warehouse solution that will enable investment managers to run custom reports from their hosted ARGUS Enterprise and ARGUS Taliance models, which also facilitates the integration of ARGUS data with popular BI tools such as Tableau, Power BI, Qlik Sense, and even the customers’ own data warehouses. Throughout this offering, our customers will have a single data model, facilitating reports that drill down from investor level through to the investment building and lease levels. The use cases are plentiful. For analysts and asset managers, they can slice and dice the outputs from their models to better understand the drivers behind the projected performance of their portfolios or run scenario comparisons for what if analysis on potential acquisitions or future market conditions. For the fund managers, they’ll be better equipped for fund reporting on projected results and can now overlay with non-ARGUS data for their reports. And finally, for the IT professionals, it’s a streamlined enterprise architecture that helps standardize on BI tools throughout their organizations to create compelling efficiencies. And again, this is only available to customers through an active AE or Argus Taliance cloud subscription. Now turning to the recent acquisitions. The acquisition of Finance Active is a critical step to accelerate our growth in the debt asset class, a high-value adjacency that fits very well with our strategic road map and addresses growing client demand. We have about a month under our belt since closing, and integration is progressing smoothly with the head of our product strategy, Guillaume Fiastre, who is also based in Paris, running integration. We have a well-designed integration blueprint with a solid track record of integrating acquired companies. In the near-term, we’ll focus on delivering the original Finance Active budget and minimizing any disruption to their daily business, while we assess their business processes, procedures and systems. Our recent efforts have been on the HR finance, IT and communication work streams with back-office integrations. But most importantly, we have also quickly assembled a SWAT team with members from both sides to start to leverage our combined capabilities to tap into cross-selling opportunities. We’re targeting near-term opportunities predominantly focused on common clients and debt valuation in North America and then also selling ARGUS Cloud more fully into the European sector. Our initial focus is on the back-end office integration to help bring our teams closer together. Then we’ll move to the front-end platform integration, moving them to our cloud infrastructure and product integration. We are also really excited about this week’s acquisition of StratoDem Analytics, and early-stage data science as a service company focused on the real estate sector. This will be foundational to our data strategy and another strong deliverable against our strategic priorities. The StratoDem Analytics platform integrates vast amounts of granular local demographic and economic data sets to generate predictive models and analytical tools that enable their clients to better understand the factors influencing the market and build more accurate models and forecasts. Of particular interest, the StratoDem engine leverages machine learning capabilities to process large amounts of data and identify correlations between data points. This helps clients better understand what is happening in real time. The CRE market is on a journey, looking for greater intelligence and higher performance. We think that there are three distinct phases in this journey. Phase 1 is focused on what happened. Phase 2 shifts to why it happened, and Phase 3 focuses on what will happen next. As I discussed on the last call, the data opportunity we’re narrowing in on is combining real-time data-driven insights with predictive analytics and alert capabilities. Currently, we have tools and solutions that look backwards at what happened. StratoDem will help us bridge the gap to why it happened, Phase 2, by accelerating our plans at least two years and position us to rapidly transition to Phase 3, predicting what’s next. StratoDem Analytics will be a core component of our data strategy, combining valuable data science talent and technology together with our appraisal management solutions through ARGUS Value Insight and with our ARGUS software applications to develop uniquely focused assets on the real estate market. As you heard me say before, 2021 is a key execution year, and we’re investing in our growth engine across all of Altus. Related to that, our focus remains on building out the infrastructure and go-to-market strategies to accelerate growth over the long-term. Reflecting on our revamped sales and marketing efforts, we are also planning to focus more of our marketing spend this year on qualified lead generation across all of our businesses. This is a shift from historically being overweight on brand awareness and something we could successfully scale across various geographies for all of our businesses. We have hired a new Chief Marketing Officer, Ernie Clark, who just started this week as well and as part of his 90-day plan, his focus is on our demand generation framework and brand strategy. Having worked with Ernie in the past, I have full confidence in the value we can unlock through a customer and product-focused marketing strategy. Overall, there’s a lot of progress happening across the organization. As Angelo said, we’re just starting to hit our stride and beginning to see returns on our investments and improving in other areas of the business that, in my experience, are leading indicators for future revenue growth, both at Altus Analytics and at Property Tax. At Property Tax, the integration under our global operating model is going extremely well. By one measure, we’re seeing notable improvements in business development activities and leads, and although we don’t report this on this metric externally at this point, our Property Tax bookings were solid in Q1, another strong indicator of our market share growth. The global coordination on our digitization initiatives is in progress, too, and our programs have started in digitizing all pieces of our tax workflow in our three national jurisdictions. We are on track with our plans, which will allow us to realize more value for our clients. In addition, we’re also seeing an improved M&A environment for Property Tax, so we’ll be opportunistic as attractive opportunities arise. We’re one of the largest and fastest-growing tax providers globally with an attractive growth opportunity in a consolidating industry. With our new market leadership and the build-out of our tech and data platforms, we have a unique opportunity to add more tax practices to our platform and meaningfully enhance their values by strengthening their delivery models and client outcomes through technology, data and analytics. As I start to wrap up, we’re really excited about the opportunities ahead of us. With our long growth runway for our existing Altus Analytics solutions, new opportunities in the debt and data adjacencies and with the untapped opportunity to really evolve Property Tax, we remain very advantageously positioned to reach our potential. We do have a lot of work ahead, but we have a solid strategy and the best team in our industry to execute upon it. In closing, I wanted to thank our customers for their continued commitment to Altus and to congratulate our employees again for the solid execution in Q1. Okay. Let’s open up the line for questions now. Operator?
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Your first question comes from Richard Tse from National Bank Financial. Please go ahead.
Richard Tse: Yes, thank you. Just sort of a broad question to start off with the sort of U.S. leading the charge on the reopening. Are you generally seeing the cadence improving in terms of the pipeline of prospects here?
Mike Gordon: I think that when you look at the pipelines, the pipelines in the U.S. businesses are really strong, Richard. And what we’re seeing across pretty much all our businesses that our pipelines are improving. We did do a fairly good job of maintaining solid pipelines during probably some of the worst times of the pandemic. But what I do sense is – and what we’re starting to see with our pipelines and what we saw with our first quarter bookings is that we’re seeing a lot of strength coming out of bookings. And we had expected some of this as we started talking to our customers as they’re starting to position themselves over the next couple of years.
Richard Tse: Okay. That’s great. My next question has to do with the ARGUS data warehouse. It sounds like an exciting opportunity. Just wondering if it’s possible for you to kind of help us size what that incremental opportunity, maybe if we sort of look at our numbers and growth here over the next year?
Mike Gordon: Well, it’s – we do have price points on it, and we certainly can take you through those. We definitely see this as a good upsell for us because as we look at bridging our – StratoDem into our ARGUS Cloud, the ARGUS Data Warehouse becomes incredibly important for the ability to curate and migrate the data effectively. So right now, what we’re seeing is going into Q3 and Q4 since we’re releasing it really in the middle of this quarter, we’re seeing a very strong pipeline on it. And at least with what I’ve seen from our teams, we probably have somewhere between 20 and 30 opportunities.
Richard Tse: Okay. Great. And just the last one for me on StratoDem. It sounds like an exciting transaction. Do they have kind of a roster of sort of moving toward size clients already? I’m just trying to get a sense – I don’t know that company at all.
Mike Gordon: They’re a small startup, but what really got our attention is they already had a number of good-sized clients that overlap with our client set. And between that and getting an understanding of like how their machine learning engine worked, we thought that this would just be a great addition to the ARGUS Cloud Warehouse, what we want to do on data. And we thought that in talking to those customers, we got nothing but great returns. So they do have some meaningfully large customers.
Richard Tse: Okay. That’s great. Thank you.
Operator: Thank you. Your next question comes from Daniel Chan from TD Securities. Please go ahead.
Daniel Chan: Hi, thanks. Just want to get some clarity on the over time revenue. Looks like it declined by 2% sequentially. So just wonder if you can help me understand that, why that is when cloud adoption increased 8 percentage points sequentially and then the maintenance retention rate remained consistent in the mid-90% range. Angelo, I know you mentioned FX, but I think that was on a year-over-year basis. Is that the only thing that’s going on here? Or is there something else.
Angelo Bartolini: Well, primarily, yes. That’s the biggest impact when you’re looking at it in Canadian dollars. But yes, that would have been the biggest impact on a year-over-year basis. Definitely, it was the FX.
Daniel Chan: On a sequential basis, do you have that metric in a constant currency?
Angelo Bartolini: The sequential metric, well, if you went back to the last quarter, you’ll see our over time revenues. And you’ll see – you should see – I believe it’s picked up from last quarter.
Daniel Chan: Okay. And then if we kind of – I just want to make sure we understand the new bookings metric properly, and I want to make sure that we’re using it correctly. It’s usually used in a book-to-bill metric. And you mentioned that you’re taking the annual contract value of recurring sales. So I just want to make sure, if you’re signing a three-year contract worth $300 in total, you’d only be including $100 of that in your bookings metric. Is that correct?
Angelo Bartolini: That is correct. That’s correct.Okay. And do you have a sense of what the bookings would be if you had the total contract value of all deals?
Angelo Bartolini: Sorry, do we have that? Well, we haven’t disclosed that metric.
Daniel Chan: Okay, thanks. I’ll pass it on.
Mike Gordon: Daniel, I would – just for education, most of our long-term contracts tend to be – Angelo, is it fair to say between three and five years.
Angelo Bartolini: Three to four years.
Mike Gordon: Three to four years.
Angelo Bartolini: We do have a few that are five years. But in general, they tend to be in that three to four-year range.
Daniel Chan: Okay. Thank you.
Mike Gordon: Hence, the reason why we picked to lock an annual contract value, Daniel, so that we could take a look at that over time in case a total contract value, we got pushed a little bit in one direction.
Daniel Chan: Okay, thank you.
Operator: Thank you. Your next question comes from Stephen MacLeod from BMO Capital Markets. Please go ahead.
Stephen MacLeod: Thank you, good evening. Hi, Mike. Hi, Angelo. I just had a question regarding the 2021 margin guidance for sort of flat margins year-over-year. I know you didn’t have previous margin guidance on the table. Can you just talk a little bit about, if you looked at sort of where consensus was on the margin for 2021 versus where it’s going to be on a flat year-over-year basis? Can you – are you able to identify how much of that delta is related to the Finance Active purchase price accounting adjustment? And how much of it is related to investments in data, including the StratoDem platform?
Angelo Bartolini: Yes. Stephen, it’s a bit of a combination of all those factors. So definitely bringing on StratoDem as an early stage is going to have a small impact. The FA transaction, given that we’re having to take that discount and it’s actually – it’s not evenly weighted throughout the quarters. It actually impacts you earlier in the year. So the biggest quarter of impact would be Q2, and then it tends to trail off. But we’ll see most of it hitting this year. And then it is some of the investments that we have been making in some of our key strategic initiatives, such as data and a little bit on the debt side as well. So it’s a combination of all those factors.
Stephen MacLeod: Okay. Okay. Is it – and when you think about – I guess, is it fair to characterize the majority of the impact in 2021 as the purchase accounting adjustment? That’s my first question. And then secondly, if – how much do you expect the investments to trickle into 2022? Or is the expectation that this will be isolated or largely expensed or recognized through 2021?
Angelo Bartolini: Yes. They’ll be baked for the most part into this year, sort of on a run rate basis. I mean they’ll probably – they’ll impact a little bit on a go-forward basis or in the early part. But next year, we see a resumption of the growth in our margin. So we should start seeing a back to a steady incline in margin as we move into 2022.
Stephen MacLeod: Okay. Okay. Okay. And then maybe just finally, you talked about some new appraisal management clients positively impacting the numbers as well as positive – Mike, you mentioned 270 new Altus Analytics clients. Can you just talk a little bit about where those clients are coming from? Is there any way to characterize their size or their geography or anything like that?
Mike Gordon: That’s a fair question. I think – well, so first off, the 270 new Altus Analytics customers, those were all software customers, the ones that I mentioned. So first off, that’s impacting on our software. And the predominant place that they’re buying into is obviously our ARGUS Enterprise on the cloud suite. These customers do tend to be on the smaller side of the equation. When we expect we have newer – new customers, they tend to be a number of seats, up to 10 to 15 seats. So I think from the perspective, they’re not going to be our largest customers, but in some cases, they’re ones that we expect to grow over time because – and these are new, new, not necessarily a new portfolio. We also expect – we expect them to increase over time. And it was from – to be fair, it came from North America and Europe.
Stephen MacLeod: Okay. That’s great. Thank you.
Operator: Thank you. Your next question comes from Boyang Li from RBC Capital Markets. Please go ahead.
Boyang Li: Hey, thanks for taking my question. First off on, I guess, the impact of the pandemic. Are you still seeing COVID having an impact on sales cycles? Bookings seem pretty strong Q1. Do you think we could see bookings accelerate even more as we move past the pandemic?
Mike Gordon: Well, from your lips to God’s ears, right? No, I think, listen, we see strong pipelines developing. And I think that what we’re anticipating at least from our Altus Analytics business, for sure, is we’re expecting bookings to continue to be strong with us in what we can see in the near term, and we’re expecting to have a strong bookings year this year. As to the acceleration of that, some of that’s going to be based off of maybe, hopefully, COVID relaxing a little bit. Some of that’s going to be on our new sales and marketing, go-to-market strategies, and some of that’s going to be on our new – what we put together on new products. So our expectation is that we are going to continue to ramp up our bookings this year. And what we’re seeing with our pipelines right now, our hope is that, that will continue all the way through every quarter of this year.
Boyang Li: Okay. Got it. And then on Property Tax, just trying to get a sense of how the settlements have tracked so far in the U.S. now a month into Q2.
Mike Gordon: So we’re starting to see – we’re starting to feel better as the year goes on. I mean, obviously, we saw a slowdown. While, one of the earlier questions were that – was that as the U.S. opens up, I think that there’s still such a backlog of cases for them to work through in the United States that we’re trying to be patient here. But we’re starting to see already some returns to normal.
Boyang Li: Okay, got it. Thanks for taking my questions.
Operator: Thank you. [Operator Instructions] Your next question comes from Deepak Kaushal from Stifel GMP. Please go ahead.
Deepak Kaushal: Hey, guys. Good evening. Thanks for taking my questions. I joined a bit late, so I apologize if I’m being repetitive. Mike, did you guys disclose how many enterprise customers you converted this quarter to cloud and subscription versus what you did last quarter?
Mike Gordon: We disclosed that we went from 14% contracted to 22%.
Deepak Kaushal: But the mix of that, I mean, I know that you had a target – or do you have a target – or how many large enterprise conversions you want to get done this year? I seem to recall it was…
Mike Gordon: Yes, we’re still on track, and we didn’t disclose anything new on that.
Deepak Kaushal: Okay. Okay. Just moving on to tax. You’ve mentioned an improved M&A environment in tax. What can you tell us about what’s caused that improvement? Are you seeing that on the valuation side or more willingness to sell or combination? Any kind of color you can give us on that?
Mike Gordon: To be honest, I think that the way that we’re looking at it is as we’re making our moves into digitizing that business and building out the foundational technical elements, Deepak, I think that the view is that it’s easier for us to take a look at those businesses and put them on our platforms. And additionally, I think that COVID – so that’s the first thing that’s internally. The second thing that I put out there is that COVID has started to put pressure on some smaller firms, and as a result, I think there’s an opportunity for us to potentially take advantage of that. And so that’s what we’re looking at. Those two factors gives us some focus that the market could be pretty good for us.
Deepak Kaushal: Okay. Fantastic. And then just on for Finance Active. You said you put together a SWAT team to start looking at cross-selling. As you look to bring their debt products to North America, have you already had any preliminary discussions with customers? And do you have a sense of what the sales cycles might be and what the requirements might be for the product to make them kind of North American ready at this stage? Or is that something to come several quarters?
Mike Gordon: We’ve already had discussions with North American clients. We’re already deep in conversations with them. We believe that the requirements that they have are pretty standard as compared to what we have in Europe. There might be a little work here and there. But our hope is that we’ll start seeing those opportunities being sold. I would love to see those opportunities starting in Q2, but we’re forecasting Q3 and Q4.
Deepak Kaushal: Okay. And is there – just a last follow-up to that. Is there generally – I mean, is there an incumbent that you’re replacing? Or are you just replacing old manual processes? What does the compelling landscape look like from that perspective?
Mike Gordon: It’s old manual processes and what I would call services-oriented solutions.
Deepak Kaushal: Okay. Okay. I guess I could keep asking you follow-ups, but I’ll pass the line.
Operator: Thank you. This concludes the question-and-answer session. I would now like to turn the conference back over to Mike for closing remarks.
Mike Gordon: Thank you, operator. Everyone, we thank you for your attention today and for your interest, as always in Altus Group. If anyone has additional questions, please contact Camilla directly. And this concludes our question-and-answer session. Thank you once again.
Operator: Thank you. This concludes today’s conference call. You may now disconnect your lines. Thank you for participating. And have a pleasant day.